Operator: Good morning and welcome to eMagin Corporation's Second Quarter 2022 Earnings Conference Call. Please note this event is being recorded. After management prepared remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the conference over to Mark Koch eMagin's CFO. Please go ahead. 
Mark Koch: Thank you and good morning everyone. Welcome to eMagin's second quarter 2022 earnings conference call. Before we begin, I would like to remind you that in the following prepared remarks and in our Q&A session, we will make statements about expected future results that may be forward-looking statements for the purposes of federal securities laws. These statements relate to our current expectations, estimates, and projections and are not guarantees of future performance. They involve risks uncertainties and assumptions that are difficult to predict and may prove not to be accurate, especially in light of the effects of the ongoing pandemic. Actual results may vary materially from those expressed or implied by these forward-looking statements and we undertake no obligation to update these disclosures. These forward-looking statements should be considered only in conjunction with the detailed information contained in our SEC filings including the risk factors described in our 2021 annual report on Form 10-K and current Form 10-Q. During this call we will also refer to adjusted EBITDA, a non-GAAP financial measure to provide additional information to investors. A reconciliation of adjusted EBITDA to net income, which is the most directly comparable GAAP financial measure is provided in the press release that we issued this morning. Non-GAAP financial measures such, as adjusted EBITDA, are not meant to be considered in isolation or as a substitute for our GAAP financial measures and financial statements. With that, I will turn the call over to our CEO, Andrew Sculley. 
Andrew Sculley: Thank you, Mark and hello everyone. Thank you for joining us today. On today's call, I'll provide some key takeaways from our quarterly results and discuss our technological advances and equipment schedule. Mark will then discuss our consolidated results in greater detail. Our second quarter included a number of highlights, including higher revenue, improved gross margin, new business wins, and progress on our AS9100 ISO certification. Our total revenues rose 14% to $7.2 million year-over-year, while our gross margin improved to 22% from 9% a year ago. The gain in gross margin was driven in part by increased yields and a favorable sales mix, along with the impact of higher manufacturing volumes. This is the third consecutive quarter in which we realized year-over-year increases in throughput. The improved yields and increased throughput resulted from the impact of the new government-funded equipment in our production facility and improvements in our manufacturing operations. We achieved continued growth in display revenue from the ENVG-B program and other military programs, along with increased veterinary and surgical revenues. We also strengthened our relationship with a major prime contractor by advancing our capabilities for higher level assembly and shipped displays to a customer providing heads-up displays for optical surgery. As of the end of the second quarter, our total backlog of open orders remained strong at $14.3 million with $12.8 million shippable over the next 12 months. This reflects demand for our displays for use in thermal weapon sites, military night vision goggles, and medical applications. Additionally the US Army's program office -- Program Executive Office for Simulation Training and Instrumentation awarded us a $2.5 million two-year development contract in Q2. Their goal is to secure a US source for high-performance microdisplay that provides high brightness and visual acuity even in bright daylight conditions. We will design a backplane that will allow for significantly higher luminance of our dPd displays and ultimately leverage the full potential of the equipment we are acquiring under our Title III and IBAS funding grants. Furthermore, we anticipate that our government-funded dPd tool will be available to satisfy this demand for high luminance displays as well as demand from both existing and new military customers. At the same time we are continuing our proof-of-concept display work for a Tier 1 AR/VR customer and are anticipating the September arrival of an advanced dPd chamber for R&D usage which will, we will use to complete the remaining OLED deposition phase of this contract. This new R&D chamber will enable us to fabricate additional high brightness prototypes. Moreover, it should accelerate progress with our product road map as we await qualification of a government-funded dPd tool, early in the second half of 2023. That will be capable of serving our military and commercial markets. As previously announced in May, we received the People's Choice Award for Best New Display Technology, at Display Week 2022 where we showcased our direct pattern, single-stack color, OLED microdisplay which is capable of over 10,000 candela per square meter of maximum luminance. We continue to display our technological leadership at industry conferences, including an upcoming paper presentation by our Chief Operating Officer, Dr. Amal Ghosh on OLED microdisplays for AR/VR applications, at IMID 2022, the International Meeting on Information Display later this month in Busan, Korea. Lastly, we have completed a preliminary audit and expect to obtain an AS9100/ISO 9001 certification in the third quarter of this year. We expect our quality control efforts will be additive to the yield and throughput improvements anticipated from the new equipment provided under our Title III and IBAS programs. Furthermore, we expect that this certification will elevate our profile as the supplier of choice for OLED microdisplays for various markets that we serve. With that, I'll turn the call over to Mark, who will discuss our financials.
Mark Koch: Thank you, Andrew and hello everyone. Starting with the top-line total revenues for the second quarter of 2022 increased 14% to $7.2 million, compared with $6.3 million reported in the prior year period. Total revenue consists of both product revenue and contract revenue. Product revenues for the second quarter of 2022 were $7.0 million, an increase of $1.3 million from product revenues of $5.7 million reported in the prior year period. The year-over-year increase in display revenue was due to strength in military markets including shipments of displays used for the ENVG-B program and higher revenue contributions from medical customers. Contract revenues were $0.1 million compared with $0.5 million reported in the prior year, reflecting an anticipated decrease in second quarter development work associated with a proof-of-concept project. As Andrew mentioned, we anticipate increased development activities with this Tier 1 consumer company following the expected September 2022 delivery of the R&D deposition chamber. Additionally, in Q2, we began to recognize revenue under the new U.S. Army development contract. Total gross margin for Q2 was 22% resulting in a gross profit of $1.6 million, compared with a gross margin of 9% which resulted in a gross profit of $0.6 million in the prior year period. The gross margin improvement reflects increased product revenues, higher yields and the impact of higher average selling prices in the current year's period due to a favorable sales mix combined with the impact of higher manufacturing volumes. Operating expenses for Q2 including R&D expenses were $3.4 million, compared with $3.5 million in the prior year period. Operating expenses as a percentage of sales were 47% compared with 55% in the prior year period. Operating loss for Q2 narrowed to $1.8 million compared with an operating loss of $2.9 million in the prior year period, primarily reflecting the increased gross profit as noted above. We anticipate improved performance over the subsequent quarters, due to operational improvements and significant upgrades to our capital equipment and manufacturing processes provided by the IBAS and Title III government programs. Net loss for the second quarter was $1.4 million or $0.02 per share, compared with a loss of $0.3 million or zero per share in the prior year period. After adjusting for a change in the fair value of the warrant liability, net loss for the second quarter of 2022 was $1.7 million or $0.03 per share on a fully diluted basis. Excluding the impact of the $2.6 million change in the fair value of the warrant liability for the prior year period, net loss for the second quarter of 2021 was $2.9 million or $0.04 per share. Adjusted EBITDA for Q2 improved to negative $0.3 million compared with negative $2.0 million in the prior year period. As of June 30, 2022, the company had cash and cash equivalents of $4.3 million and working capital of $12.3 million. During the second quarter, the company repaid $0.6 million under its asset-based lending facility. Borrowings and availability under the ABL facility were $2.1 million and $0.7 million respectively as of June 30, 2022. Additionally, the company realized $1.6 million in net proceeds from sales of common shares under its ATM program. With that we will open the call for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] Our first question coming from HCW. Your line is open.
Kevin Dede: Good morning, Andrew and Mark. How are you?
Mark Koch: Good morning.
Andrew Sculley: Good morning, Kevin. How are you? We are good.
Kevin Dede: Good, good. Thanks for having me on the call. Just help me understand the time line and maybe a little bit more on the new Army development contract. I understand that you need that deposition tool to come in I guess next month. How long will it take for you to get that thing in place and online operating properly in order to perform what the Army is asking you to do? 
Andrew Sculley: Well there's a couple of things to think about. One is the tool comes in. This is an upgraded R&D tool and that comes in in September. And then we – it's just an upgrade of the old R&D tool, with some good very good upgrades. It will take some time to get up. But the other thing to realize is the US Army program for $2.5 million that that requires a backplane redesign and we're doing that. And so that backplane design will take us through the end of the year and then the R&D tool will be up and running.
Kevin Dede: Okay.
Mark Koch: And that's a two-year program Kevin. 
Andrew Sculley: Yes it is two years. And the other thing is we don't expect the R&D tool to take an enormous amount of time and it's important because the Tier 1 project we're working on, we need to do additional OLED deposition and we want to use that new tool, so that should start shortly after September.
Kevin Dede: I see. Okay. The press…
Andrew Sculley: I'm sorry, Kevin can I say one other thing? The other important thing we said this during the prepared remarks the other important thing is the new Title III tool will be able to produce this very high brightness color display in volume. And I'm talking about our volume type. So that's going to be an extremely positive.
Kevin Dede: Right. So that's kind of where I was going because I tried to do some rough math based on the press and it seems there's a total of seven tools that are part of the upgrade process. Three you have and four are coming. Do I understand that correctly? And then I think there's one big deposition tool. Is that the one that you're referring to? 
Andrew Sculley: Yes. And that's, correct. You're counting well. And the large deposition tool, is the one that will be able to do our direct patterning or dPd, in production and that's mass production for us. It will also be able to do ---any display we make today, could be done on that tool. And it will also be able to do this very high brightness, with the new project by the Army.
Kevin Dede : Okay. Can you – Andrew, would you mind just sort of taking me through the timeline on that? I understand that's supposed to be in by the end of the year, but it could take a while to get it dialed in. We shouldn't really expect it to be up and running, until maybe the third quarter next year? 
Andrew Sculley: What we said, yes, the big tool. We said that it would be in, and then we would qualify it in the second half, early second half of next year. And therefore, we'll be able to run things on it. Of course, it will take some time to qualify all our products on it, if we want to do dPd on every one of our products today. 
Kevin Dede : Okay. Now my understanding is that you're going to run what you currently have in parallel, right? So that will give you a little more redundancy? 
Andrew Sculley: Yes. Yes the current larger tool and this current large tool, is small compared to the new one, but the current large tool will be continuing to run and we'll be able to run both tools in parallel. And that's one of the ideas, is that the single-use failure, now will have two very good tools. One capable of course in mass production of the direct pattern displays, and also the new display that we're designing for very high brightness, full-color mass production. And here, what I mean by very high brightness, we already got over 10,000 candela per meter squared. And now this next effort will -- we can estimate that it's going to be 1.8 times to 2 times what that is. 
Kevin Dede : Is that going to be a dual stack configuration, or will you be able to do that just in a single? 
Andrew Sculley: Well the dual stack or tandem architecture is one of the things that we're working on as well. Sure.
Kevin Dede : Okay
Andrew Sculley: And by the way doing a tandem architecture on a -- and that's the common language from the inventors, but the tandem architecture is much easier to do with red, green and blue singly, than a tandem white, so we have an advantage over everyone. And the other great thing is, when you do a tandem architecture, we don't have the color filters, which throw away 80% of the light, so a very big advantage here. And as you know, you've heard things like a tandem architecture, where I actually heard a three stack, at the Display Week 2022. One company had maximum of 7,000 nits although from my eyes they were only running it at 2,000. 7,000 nits, white with color filter three-stack tandem. And here we've got one stack, with direct patterning at over 10,000. And when we do this next program, it's going to go to more something like 20,000. What an advantage we have. 
Kevin Dede : Yes. Thank you, Andrew for that extra color. Could you just walk us through where you are on the consumer development side? Obviously, you spoke to one program, but my understanding is there are others and lots of development that you've done in the past. And I'm just hoping, you could speak to where your current programs are and how much interest you're seeing. 
Andrew Sculley: Well, everyone we talk to, and this is on the AR side or VR side, they don't always tell us what they want. They want a very high resolution so 4,000 is the key number nowadays. The newer ones, didn't want to stitch the backplane -- sorry for the technical jargon, but if you don't stitch the backplane, you have to have something with smaller diagonal. If it's a square, diagonal has to be something like 1.3 inches, instead of the 4,000 resolution, we did was 2.1 inches in diagonal.  People want it smaller nowadays. And we have spoken with a number of companies. We gave them the path forward, on how to get to a 1.3-inch diagonal near as 4,000 as we can get and there's great excitement. The other thing is I have to say that, no one has told us they can withstand less than 10,000 nits. So even those three-stack white that we saw at Display Week 2022 that's not good enough. And you asked about the past. So the other thing, this new R&D system that's coming in, in September, we need to finish the prototypes for the Tier 1 we're working with now, all of the prototypes with the OLED. And then, the next step is, we want to also produce more of those 4,000 resolution displays that we already have. And we've shown the 4,000 display to a number of companies and the company who paid us to design that allows that to happen. We don't violate anything, of course. And then, that creates excitement too. 
Kevin Dede: Okay. Just want to switch gears a little bit. Mark, it looks like the gross margin was down sequentially. Do I have those numbers correct? And on flattish revenues, could you just help me understand why that happened?
Mark Koch: Yes, sure, Kevin. It was a slightly lower manufacturing volume in WIP to absorb the cost out, say, 15% lower volume. And in the first quarter, we had some recoveries of displays that we had taken a look at the specs and discovered that we were being too tough on ourselves. It does include some recoveries of displays that we were able to reclaim and put into our inventory, which was a positive adjustment. So we did not have that reoccur in the second quarter.
Kevin Dede: Okay. And then, just last question for me, could you refresh my memory on the accounting or synopsis of actually accounting and the deferred income on the government award, because I keep seeing that increase as a liability?
Andrew Sculley: Yes, certainly. When we -- like we make progress payments to vendors for the equipment. And as we -- in advance of the progress payment being due, we bill the government. The government pays us the funds for it to reimburse the government, so we increased our fixed assets. Then we also increased the deferred revenue liability. And then there's another step that you're starting to see in our other income section. You see, there's other income of $350,000 in Q2. So as we depreciate this equipment, the depreciation, for the equipment for the new government equipment shows in COGS. But the accounting says, as we depreciate it, we actually recognize the benefit or the income from the government grant. So, over the course of the program, all of that deferred revenue will eventually be amortized to other income. All that will decline over the course of the program, commensurate with the amount of depreciation expense each quarter. Rather involved, but I guess, if you pull back on the macro level, we've received these over $35 million $39 million in funds from the government and the accounting on a macro level is that, it's a grant. It's considered an income in that sense. And we recognize that income over the useful life of the equipment, which, of course, is basically a proxy for the depreciable life of the equipment.
Kevin Dede: Okay. And what are you using, like, 10 years or longer?
Andrew Sculley: No, for most, we're using seven years, which is what we've done for equipment.
Kevin Dede: Okay.
Andrew Sculley: It of course would last longer than that, much longer but that's been our convention for our major pieces of manufacturing equipment.
Kevin Dede: Okay. I'm sorry, I'm going to stay on. Just walk me through where you are in government projects. Understand the new development one and the EMVG, but I know that there were a bunch of other things helicopter, helmets, missile targeting, displays. What else can you help me with? 
Andrew Sculley: Just there are a number of projects that we're already on and working on like the helicopter. And forgive me we can't name who is the actual customer. There's a number that we're also working on. And I'll just mention that, for example, the family of weapon sights there was another bid that had taken place and we used our displays with a number of primes. And one of them is -- looks like it's going to get the award. So that's one. We are on a significant aircraft, and we're still supplying displays to an aircraft helmet. Sorry, I can't mention the name, but that's very good for us. And some of the other programs that we're on they are not in the US. We are providing displays outside the US as well. And there is one of them that is a tank program where the people in the tank can put on a device and they don't have to stick their head outside and it looks outside of the tank. And they can also see as an AR device inside the tank also. So it's very interesting to us. Okay, one other one obviously we have a longstanding customer which is a big customer that is for consumer thermal scopes for hunting. And you might think that that's a small volume, but for us it's very big. And they also now work on the government side. We have a number of programs going very well. 
Kevin Dede: Wonderful. Thank you so much for entertaining all questions gentlemen, I really appreciate. I'll turn the floor over. 
Andrew Sculley: My pleasure.
Mark Koch: Thank you, Kevin.
Andrew Sculley: Thank you, Kevin.
Operator: Thank you. And our next -- our last question coming from the line of Michael Wells. Your line is open. 
Unidentified Analyst: Good morning, Andrew and Mark.
Andrew Sculley: Good morning, Michael
Mark Koch: Good morning, Michael
Andrew Sculley: One thing I should mention before you start I forgot to mention ENVG-B program to Kevin's question. My apologies Kevin, and sorry for interrupting Michael. But ENVG-B they recently got a big plus up in terms of government funding. Instead of $75 million they went up to so it's not going to necessarily reach the number of $300 million for government funding. It's up to $300 million, but we expect it to be much larger than the $75 million. And also if you read the press on this look it up in the Internet it performs very well. So that's other good news. And that's our biggest program right now. Sorry, Kevin I forgot it. And Michael, I apologize for interrupting your question. 
Unidentified Analyst: No problem. Andrew to my knowledge eMagin is still the only company right now that can do a 4k OLED microdisplay at over 10000 nits. I wanted to ask -- go ahead. 
Andrew Sculley: That is correct. 
Unidentified Analyst: Okay. I wanted to ask 
Andrew Sculley: Yes. Let me say one other thing. To our knowledge we're the only company that has produced an OLED microdisplay at 10000 nits and above. To our knowledge.
Unidentified Analyst: Okay.
Andrew Sculley: And…
Unidentified Analyst: Okay. What I wanted to ask and I've asked about this before just kind of your view of kind of the competitive landscape. As we're kind of coming down the home stretch here getting close to the consumers' consumer headset the next generation I think there's some big guys, kind of, going after those same sorts of targets. I wanted to just kind of check in with you and see if you think that changes much over the next couple of years? Where maybe one of these guys kind of gets there and says hey we can do that too, or do you feel like you've got to -- yeah. 
Andrew Sculley: Yes. We have good patent protection and knowhow. That said, one of our goals is potentially to get a mass production partner. We're also interested in the CHIPS Act. But a mass production partner and there are a few companies with whom we're speaking about this technology.
Unidentified Analyst: Okay.
Andrew Sculley: There is interest. And I think, the easiest way to get to 10,000 nits is to use direct patterning and our methodology is very good.
Unidentified Analyst: Okay. And I know that you've been thinking about this manufacturing agreement for quite a number of years now. You don't have anything finalized yet, but I just wondered if you've kind of settled in your mind on which company that you're going with, or do you think that it would more roughly be more than one license that you would provide for maybe a couple different companies to use rather than an exclusive agreement?
Andrew Sculley: No, it really depends on the end result. An exclusive agreement is more value -- has a higher price tag than a nonexclusive agreement, so that depends on that. And we are talking to a few, which actually is like four companies about this.
Unidentified Analyst: Okay. All right. And I wanted to ask, there's a consumer company that holds a license to use your technology going back to 2017.
Andrew Sculley: Good memory.
Unidentified Analyst: Do you still hear to hear from them at all?
Andrew Sculley: Yes, we do. They're very interested in this new equipment that's coming in.
Unidentified Analyst: Okay, good. Are they also interested in you finding a manufacturing partner and maybe willing to kind of help with that process?
Andrew Sculley: Absolutely. Yes.
Unidentified Analyst: Okay. All right. Let's see -- I think that's all I've got, but that sounds really good. So, thank you very much for taking my questions.
Andrew Sculley: You're welcome. Michael.
Mark Koch: Thank you, Michael.
Andrew Sculley: We are very happy with the progress that we are making. And the new R&D chamber will be quite good at making the displays. And not mass production -- yes, go on.
Unidentified Analyst: Do you think that what you're going to do here in September with the R&D chamber, is that kind of the last step to complete the proof of concept?
Andrew Sculley: Yes. It's needed to.
Unidentified Analyst: Okay. So after that gets -- it is after that gets done then that would be kind of when that consumer company would decide, let's go forward with some -- let's go see that manufacturing partner?
Andrew Sculley: Yes. It will take us a while to get all those displays done on the tool.
Unidentified Analyst: Okay.
Andrew Sculley: But started after the tool is in and running which is later this year.
Unidentified Analyst: All right. Well, sounds great. Thanks, again.
Andrew Sculley: Thank you, Michael.
Mark Koch: Thanks, Michael.
Operator: Thank you. I will now turn the call back over to the company for any closing remarks.
Andrew Sculley: Thank you, again for joining us today. This concludes the conference call. Have a nice day. Thank you.
Operator: Ladies and gentlemen, that does end our conference for today. Thank you for your participation. You may now disconnect. Good day.